Carl Cowling: Good morning, everyone. I'm Carl Cowling, Group CEO, and I'm here with Robert Moorhead, our Group CFO and COO. And I'm also delighted to introduce Max Izzard in the front row. He will shortly be taking over from Robert. I'm sure many of you are aware that this will be Robert's last update with us ahead of his retirement. So before we go any further, I'd like to personally thank Robert for the outstanding contribution he has made to the group over his 20 years service. That's it there, Robert. As usual, we will start by giving you an update on our performance for the 12 months ending the 31st of August 2024, and we'll also run through the highlights of the year for the group. In a moment, I'll hand over to Robert, but let's start with an overview and turning to Slide 3. We have a clear strategy and ambition to be the leading global travel retailer. During the year, we have delivered a strong performance with group profit up 16% to GBP 166 million and group revenue up 7%. And I'm particularly pleased with our performance in Travel U.K., our largest division, which grew its profits by 20%, and we continue to innovate and grow this business. We have also seen some improvements in our North American business, and we're delighted with the new airport wins that we've announced today. This includes new business at Washington, Denver and Dallas. And we are the preferred bidder for 2 major U.S. airports totaling a further 15 stores. So some significant wins in the U.S., and I'll come on to these later in the presentation. During the year, we have also successfully opened over 100 new travel stores across all 3 divisions, and we now have a new store pipeline of over 90 stores won and due to open over the next 3 years. We are benefiting from growing passenger numbers and space growth opportunities in Travel, and this gives us the confidence to invest for future growth. Today, the Board is proposing a full-year dividend of 33.6p, a 16% increase. In September, we also announced a GBP 50 million share buyback, reflecting strong ongoing cash flow and the receipt in the pension fund buyout to cash return, which Robert will come on to. And I'm pleased to update that we have started the new financial year well, and we are confident in the year ahead. Turning to the next slide. And before I pass over to Robert, I thought I'd remind you of our 4 key drivers of growth, how we're continuing to deliver on our strategy as a global travel retailer and explain why there is so much more room for growth across each of our divisions. We have spent the past couple of years successfully transforming the Travel business from a news, books and convenience retailer to a one-stop shop for travel essentials. This transformation is going well, but it is still work in progress, and there is still a long way to go to maximize all the opportunities that this provides. By using our forensic approach to space management, we're able to consolidate categories and introduce new ones such as health and beauty, tech accessories and increase our Food to Go offer. We are always looking to identify the most productive ranges to ensure we provide landlords and customers with the optimal proposition for travelers. We are seeing elements of this model working across all of our stores and channels. In the U.K., we're seeing material uplift in sales per passenger. While overseas, we're still only at the start of this journey, and we're excited by the opportunities that exist. If you then look at space, the group has an enormous opportunity to improve the quality and grow its space in both existing and new markets. We have a highly scalable proposition, and so the opportunities are substantial, as you can see from the new wins we've announced today, particularly in the U.S. And finally, a key growth driver is passenger numbers, which are forecast to grow in the short and medium term. All of this is focused on driving strong revenue growth, EBIT margin expansion, generating high levels of cash and delivering good shareholder returns. I'll now hand over to Robert.
Robert James Moorhead: Thank you, Carl. Good morning, everybody. Let's start off with the group financial summary. As usual, the numbers I'm going to refer to are pre-IFRS 16. There are some bridges to IFRS 16 in the appendix. We've had a strong year. Revenue was up 7% on 2023 to GBP 1.9 billion. Headline profit was up 16% to GBP 166 million, and EPS was up 11% to 89.3p. Free cash flow was GBP 53 million, reflecting the additional profit and the significant investment in the business in the year, and I'll come on to all that later. Including the GBP 75 million cash return from the pension fund, leverage had dropped to 1.1x and well within our envelope. In line with our capital allocation policy, we commenced the GBP 50 million share buyback announced at our pre-close in September. The Board has proposed a final dividend of 22.6p per share, making a total of 33.6p for the year, which reflects the strong business performance, our strong cash generation and our confidence in the outlook. So turning now to the analysis of revenue. The group delivered record revenue in the year, up 7% on last year to GBP 1.9 billion, driven by all 3 divisions in Travel. Travel is now over 75% of group revenue, and this will increase further as Travel continues to grow and we open more stores, and we are pleased with the start to the current financial year. On a constant currency basis, revenue in Travel was up 12% year-on-year, with like-for-like revenue up 7%, reflecting a strong operational performance and an increase in passenger numbers. All 3 divisions saw strong revenue growth in the year. We opened net 38 stores and expect to open a further net 40 stores in the current financial year. And I'll spend a little more time giving you some color on our net store opening position later in my presentation. High Street, including our Internet businesses, performed as expected, generating revenue of GBP 452 million. So let's look now at the divisional performance in Travel in a bit more detail on the next slide. Travel performed strongly in the year, a performance that has continued into the current financial year. Starting first in the U.K. Total revenue was up 12% on 2023 and up 10% on a like-for-like basis. In all 3 channels, we saw the benefit of our 4-pillar strategy. Air was up 11% on a like-for-like basis and in total. Hospitals were up 14% in total and 12% like-for-like. And Rail was up 13% in total and 11% like-for-like, and we expect further growth in this financial year in the U.K. In North America, total sales were up 9% on a constant currency basis driven by Air, which grew 14%. Like-for-like sales overall were flat on 2023. And this performance was driven by our travel essentials airport stores, which now account for over 50% of revenue in our North America division and delivered like-for-like sales up 7%, and these stores continue to perform strongly. TSA data remains encouraging, with passenger numbers also continuing to grow. And this, along with our focus in opening new space and airport travel essential stores will result in the North American division becoming increasingly a travel essentials air business. The smaller part of our North American Air business is in motion, which currently accounts for around 25% of our North American division. Like-for-like sales in motion were down 5% in the year. With the lack of innovation in the headphone market, we continue to reposition the product offer towards a higher-margin tech accessory category. We expect similar sales trends this year. In the Resorts business, which is centered around Las Vegas, we saw total sales on a constant currency basis, down 8%, reflecting the closure of 16 stores, mainly as a result of 2 hotel closures on The Strip. This will also have an annualization impact into this year. Like-for-like sales were down 3% in the year, reflecting a higher mix of conference attendees. We're seeing a similar sales trend this year, which is a little softer than we had anticipated, and we continue to rebalance the space to reflect the greater mix of conference visitors. We're excited about the prospects for our North American business, not only in growing market share this year and into future years, but also from applying our forensic approach to retailing as we use the increasing amounts of data on how our stores perform. The Rest of the World continues to grow, too. Total sales were up 18% on a constant currency basis, with like-for-likes up 9%. We opened 5 stores in Budapest, our 32nd country. There is still some passenger number recovery to come, particularly in Australia, where domestic packs remain below 2019 levels. So turning now to the income statement. Headline profit before tax was GBP 166 million, up 16% on last year and the highest profit the group has delivered. This was driven by Travel, which delivered a profit of GBP 189 million compared to GBP 164 million last year. Travel generated over 85% of group profit from trading operations. And that proportion, as for revenue, is going to increase. In U.K. Travel, profit improved by 20% from GBP 102 million to GBP 122 million due to higher revenue and improved margins. We expect further profit growth in the current financial year. North America, our second largest division by profit, delivered a profit of GBP 54 million, 10% ahead of last year. In North America, we've increased revenue and improved margins. And at the same time, we've invested in our store estate and to support growth. The group is subject to movements in the dollar exchange rate when translating the results of its U.S. operations into sterling, a 5 cent movement results in a change to the full-year profit of around GBP 3 million. In the Rest of the World, we saw profit in line with last year with a strong second half when profit was GBP 14 million, GBP 3 million ahead of last year. Our Travel business is better placed than ever. We have significant opportunity to grow space and increase revenue each year into the medium term, which, together with our forensic approach to retailing and cost leverage, also drives EBIT margin accretion. High Street delivered profit of GBP 32 million as expected. We still see significant scope for cost savings, particularly rent. And the business is on track to deliver around GBP 11 million of cost savings in this financial year. Overall then, group profit from trading operations was GBP 221 million. Central costs were slightly higher year-on-year as expected. Financing costs at GBP 27 million includes the noncash accretion of GBP 8 million relating to the convertible bond. So that results in headline profit before tax at GBP 166 million, 16% ahead of last year. Before I move on to cash flow, I want to give you a bit more color to the changes in our store portfolio in FY '24 as we continue to focus on better quality space. We opened 106 stores in the year, with 14 in U.K. Travel, 40 in North America, of which 36 were in Air, demonstrating our clear focus on this channel; and 52 in our Rest of the World division, of which 23 were franchised. At the same time, we closed 68 stores in the year, nearly all in line with our strategy to improve the quality of our estate, leaving us with a net store openings of 38 for the year. As you can see here, 18 closures were the result of relocations or removing lossmakers, 16 were mainly in 2 resorts hotel, which closed down in Vegas, which I've already mentioned. And in our Rest of the World division, 16 were small franchise stores. Outside of planned redevelopment, all of these closures were actioned in line with our strategy, albeit there were an above-average number of closures in the year as we would not expect further hotels to close in Vegas, nor such significant rationalization of the franchise portfolio. So our focus has been and will remain on opening more stores and better quality space. As a result, you should expect to see further store closures in the current financial year and beyond. Our current estimate for FY '25 is that we'll close around 20 stores and open around 60 stores. So turning now to cash flow. We are a very cash-generative business. And as we become increasingly travel-focused, this will grow further. There are 3 points to note on the free cash flow for the year. First, we generated GBP 267 million of operating cash flows as the business increased its profitability in the period, reinforcing the point on cash generation that I've just made. Second, the investment in the business with CapEx in the year of GBP 129 million, including the new store opening program. We opened 106 new stores, including a further 40 in North America, which were mainly in travel as sanctions. We anticipate our investment for the current year to be around GBP 125 million, which includes opening around 60 new stores, reflecting both the opportunities we have, plus our confidence in the markets in which we operate. We're getting good returns on these investments, generating ROCE ahead of our cost of capital in each of the 3 divisions. Third, as expected, working capital was an outflow of GBP 49 million. This includes investment in new stores, deferred rent payments and travel relating to the pandemic and some timing. So turning now to the net debt. Net debt at the end of the year was GBP 371 million, which after taking into account the return of cash from the pension fund, gave us a pro forma leverage of 1.1x EBITDA. As well as the free cash flow, we then had GBP 94 million of outflow on nontrading items, of which the biggest items were the GBP 41 million dividend, GBP 12 million to the ESOP and payments relating to nonunderlying items from FY '24 and before. We expect net debt at the end of this year to be around GBP 340 million. The group has a 5-year GBP 400 million sustainability-linked facility, which was drawn by GBP 117 million as at 31st of August. We also have the convertible out to May 2026, so we have plenty of liquidity. We have a strong balance sheet, and our leverage ratio is now inside our envelope. So let me move on to our capital allocation policy. We remain focused on maintaining an efficient balance sheet and on our disciplined approach to capital allocation. First, investing in the business where returns are ahead of our cost of capital. We're investing for growth, growth in new stores, refurbishing our existing estate and winning better quality space. And we have plenty of opportunities to do this. The returns we get from this are good with ROCE in travel U.K. at 36%, with North America, 16% and the Rest of the World, 23%. Second, paying a dividend. We recognize the importance of a dividend to many of our shareholders. So we have a progressive dividend policy, and we seek to grow our dividend at least in line with EPS growth with a target dividend cover over time at 2.5x. With the full-year proposed dividend, coverage is 2.7x compared to 2.8x last year. Thirdly, undertaking value-creating acquisitions in the Travel space. And finally, we have a long track record of an optimized balance sheet and returning surplus cash to shareholders via buybacks. We commenced our current GBP 50 million buyback in September. I'll now hand back to Carl to talk about the operational performance of the business.
Carl Cowling: Thank you, Robert. Let me start with Travel U.K., our largest division. We have had an excellent year of strong growth across each of our channels in the U.K. with profits up 20% to GBP 122 million and a strong year of like-for-like revenue growth up 10%, reflecting strong ATV growth, increased margins and the ongoing growth in passenger numbers. We see further good growth opportunities in this division, and we continue to invest. During the year, we opened 14 new stores, and we aim to continue to open around 10 to 15 new stores in the U.K. each year. The majority of the store openings have been in our Hospital channel, and we expect this to continue. We remain focused on driving spend per passenger and ATV. And this is delivering excellent results, with revenue growing ahead of passenger numbers. Turning now to our airport performance in the U.K. We have delivered a really good performance across our U.K. Air channel with like-for-like revenue growth of 11%. Our one-stop shop format is delivering strong results, driving profitability and highlighting significant opportunities for the future. If we take our flagship store at Birmingham Airport as an example, which opened this time last year, we have been very pleased with its performance with sales increasing by 40%. Here, we have designed a store with reference to local landmarks and providing customers with a bespoke customer experience, encompassing everything you would expect from WH Smith, as well as a broader and improved product range, including health and beauty, tech, Food to Go and coffee. We have also more recently opened a Well Pharmacy within the store, completing our blended essentials offer for customers on the move. By widening our offering, creating a fast, convenient shopping experience, customers are putting more items in their baskets, which in turn increases our spend per passenger and drives ATV. As I said at the beginning of the presentation, the exciting part here is that this one-stop shop format is highly scalable, are not only applicable for our larger stores in Air, but also our smaller stores. So we see plenty of opportunities for the future. Turning to the next slide. As an example of our ongoing category developments to drive ATV, we have been focused on improving our food offer for customers. Food has increasingly been a core category for over 10 years, representing 15% of our sales in U.K. Travel. And we expect this to continue to grow. Following customer research, in June, we launched a new Food to Go range called Smith's Family Kitchen in time for our peak summer trading period. Smith's Family Kitchen is a new high-quality range, offering a broader array of sandwiches, wraps and salads and includes a premium range. Customer reaction has been very positive. Sales are ahead of our expectations, and we continue to identify further opportunities for this new brand. Turning to the next slide. The Hospital channel is the second largest by revenue behind Air, and it has delivered a strong performance in the year with like-for-like revenue up 12%. Our ongoing success in hospitals illustrates our ability to generate increased profitability from our stores by improving our retail proposition. For example, tailoring our product offer to the specific requirements of hospital staff, patients and visitors by providing an increased range of food, health and beauty and tech accessories. During the second half of the year, following the success of our Smith's Family Kitchen food launch, we opened our first cafe under the Smith's Kitchen brand at Princess Anne Hospital in Southampton. You can see a picture of this on the screen, and we are pleased with the performance. We opened a further 6 stores throughout the year, and we see plenty more opportunities to continue to grow our space and improve the retail proposition under our broad suite of brands and new formats. We currently have 145 stores across more than 100 hospitals, and we can see scope for at least one of our formats in up to 200 further hospitals. Turning to Rail, where we have delivered a strong performance with like-for-like revenue up 11%. In line with our other channels, we continue to focus on investing in new formats and improving our ranges across many of our stores including the refurbishment of some of our mainline Rail stores such as King's Cross Station to provide an improved customer proposition. During the year, we opened 5 new stores at Ealing Broadway, Houston, Milton Keynes and Victoria. Moving on now to our North American division on the next slide. North America is our most exciting growth opportunity, the world's largest travel retail market valued at $3.9 billion, and we see excellent prospects to further grow our airport business here. Total revenue in the year on a constant currency basis was up 9%, with like-for-like revenue flat and Air like-for-like revenue up 1%. We delivered profits of GBP 54 million, up 10% year-on-year. Our Air business, the biggest part of our North American division combines our travel essentials and InMotion businesses. And I'm going to focus on the travel essentials business first. This is the largest, fastest-growing part of our North American business and where we are investing most of our capital. Here, we grew like-for-like revenue by 7% in the year. We also see good opportunities to win and open more stores, delivering good returns as we aim to grow our market share to around 20% by 2028. At that point, we would expect to be operating around 500 stores and for our overall Air business to be around 85% of the total North American division, driving higher growth and profitability. Turning to the next slide. Our approach to growing our Air business in North America is similar to the U.K., but it's at a much earlier stage of development. Like-for-like revenue in our travel essentials stores, as you've just heard, was up 7%. And we see lots of further opportunities for improvement in sales and profitability by applying our retail expertise. During the year, we are focused on improving the quality and efficiency of our estate and driving profitability by applying the retail disciplines from our U.K. stores. Using the data from stores that have been trading for an extended period, we are actively analyzing our space to enhance our ranges, introduce new categories and review space allocation. While it takes time to implement these changes in the U.S., they are delivering encouraging early results. Some of the specific actions we are taking include: increasing the space allocated to food and drinks across our stores, rolling out chillers to key stores, improving the presentation of the checkout for impulse purchases, and we are introducing tech accessories into our travel essentials stores. We are making good progress, but there is much more to go for as we focus on improving the operational performance of this business and margin enhancement. So we are confident we will continue to grow our like-for-like sales in travel essentials, and we are excited by the opportunities that exist, including the strong tender pipeline of new stores that we are actively participating in, which I'll come on to. Turning to the next slide. And I thought it would be helpful to demonstrate why we're confident in our ability to continue to win market share in the U.S. by highlighting some of our recent success. As you've already heard this morning, we have recently won new airport stores at Denver, Washington and Dallas, and we're the preferred bidder for 2 other major U.S. airports. Starting with Denver, and it is one of the top 10 airports in the U.S., with passenger numbers exceeding 78 million last year. We've won 2 stores, and we expect these to open in 2026. In addition, we've won 3 stores at Washington Airport. Here, we will open our first Starbucks stores having signed a new franchise agreement. This is an exciting partnership as it opens up plenty more opportunities for us across the U.S., as we expand our coffee offer. And in Dallas, the second busiest airport in the U.S., we've won a further 4 stores. Finally, we're also the preferred bidder in another 2 major U.S. airports, totaling 15 stores. This is particularly exciting for us, and we look forward to updating you further as soon as we can. So as you can see, we continue to make good progress. And as we build scale, we are also investing in our supply chain capabilities, for example, on the East Coast, to more effectively serve our growing store estate, and this is generating good efficiencies. Turning to the next slide. I thought it would be helpful to give you an update on InMotion in the U.S. Since acquisition in 2018, we have doubled the profits and improved the margin significantly by over 500 bps by working closely with our suppliers, reducing operating costs and fully integrating into our air business. This integration was completed in the year, with all of our stores now run by one operations team. InMotion has an important role in the group. It resonates strongly with customers. It enables us to offer a market-leading tech brand to landlords as part of tenders to maintain strong global relationships with key brands such as Apple and [ Bose ] to offer a broader selection of branded tech accessories in our travel essentials stores and to broaden our higher-margin owned brand accessories ranges such as the [ Good Vibes ] range, which is performing well. With the lack of innovation in the headphone market, we continue to actively shift the mix more towards higher-margin tech accessories. Given this dynamic, we don't anticipate any change in the sales trends in InMotion in the short term. However, we would expect an increase in margin. And of course, we have successfully used the brand to grow our business overseas. Turning now to the next slide and the growth opportunities that exist for our Air business. As I've said many times before, the scale of the opportunities in the North American market is what really excites to be the most within this division. During the year, we opened 40 new stores across 16 airports, including openings at Denver, Portland, San Francisco and Salt Lake City. And we're seeing good returns. This is in addition to our new store pipeline of around 60 shops already won and due to open. However, as you can see on the screen, with the light blue bar showing the scale of opportunity in each of the top 25 airports, there is still a lot to be optimistic about. And we have every confidence that we will continue to win new business, given the number of tenders we're participating in and our current success rate. So as we continue to target our 20% share by 2028, we would expect our overall Air business at that point to be around 85% of the total North American division, which will drive higher growth and profitability. Turning now to our Rest of the World business. Here, our paths clear, to continue to enter new countries using our 3 operating models of directly run, joint venture and franchise, building our presence and over time, leveraging our fixed cost base to grow net margins. We have delivered a good performance with profit of GBP 13 million and like-for-like revenue up 9% versus last year. We are in a strong position, and we continue to make good progress entering new markets. During the year, we opened 5 new stores at Budapest airport, which is a new market for us. These stores are performing in line with plan. We've received positive feedback from the landlord and customers. Budapest is a great example of how we've localized the store design to create bespoke stores, and we see further good opportunities to do this across all markets. In addition to Budapest, we've also opened stores in Australia, the U.A.E. and Spain, totaling over 50 new stores opened in the year, and we've also acquired 3 Rail stores in Ireland. And as you would expect, we are focusing on driving ATV and spend per passenger across these stores by doing similar work to that in the U.K. by expanding our categories, introducing a broader offer for customers to include tech accessories, health and beauty and food. The opportunities are significant. And where we're opening new stores, we are pleased with our performance, and we tend to track significantly ahead of the previous incumbent. Turning now to the next slide and the outlook for our global travel business overall. As I said at the beginning of this presentation, my confidence in this business is underpinned by each of our key growth drivers, and this has resulted in a strong performance, particularly over the peak summer trading period. Each of our divisions are at very different stages of evolution, and we're equally excited about their prospects. In the U.K., it's all about continuing the transition to a one-stop shop for travel essentials. In North America, our energy is focused on winning and opening new airport stores and implementing our retail disciplines from the U.K. And in the Rest of the World, we continue to build from a small base, improve our retail offer and build scale to leverage our fixed cost base. We continue to win new tenders, and our new store opening program is on track. Passenger numbers are forecast to grow. So this, combined with our own initiatives, puts us in an excellent position to deliver this year and beyond. And while we're mindful of the economic environment more broadly, the current financial year has started well. Turning now to the High Street. During the year, our High Street business delivered a performance in line with expectations, delivering profits of GBP 32 million. As we grow Travel, this profitable division will become an increasingly smaller part of the overall group. It now accounts for around 15% of group profit from trading operations. We continue to manage our space in the High Street to maximize returns and maintain a flexible cost structure, and it continues to deliver good results. As part of this space management, we successfully opened 30 Toys "R" Us shop-in-shops in the second half of the year. And following their success, we are in the process of opening a further 37 ahead of Christmas. During the year, we have delivered savings of GBP 16 million in line with plan. These savings come from across the business, including rent reductions at lease end of around 35% as well as logistics and supply chain efficiencies. As many of you know, we have worked hard over the past 10 years to create a very flexible property portfolio in the High Street with short leases. Our average lease rate now is just under 2 years. This has set us up very well to respond quickly to changing market conditions. We have around 470 leases due to expire over the next 3 years. You can see on the table our latest forecast for cost savings up to 2027. This gives us a total of GBP 26 million over the next 3 years. Turning now to our final slide to summarize. The new financial year has started well. As you have heard, our Travel business is highly scalable and we now have over 1,200 stores across 32 countries, and we see good growth opportunities across all 3 divisions. We are a highly cash-generative business. In addition to today's announcement that the Board is proposing to increase the final dividend, reflecting its confidence in the current and future prospects of the group. We have also recently started a GBP 50 million share buyback in line with our capital allocation policy. We remain fully focused on creating value for our shareholders, and we are confident we are on track to capitalize on the substantial growth drivers across our markets and deliver another year of profitable growth. So that's it from me. Thank you, and we'll now take your questions starting with those of you in the room.
Jonathan Pritchard: It's Jonathan Pritchard at Peel Hunt. Three, if I may. Firstly, Hospitals has a massive potential opportunity, 200 more stores, I think you said. But just...
Maxwell Leslie Izzard: Sorry, can you start again? I can't quite hear you. I do apologize.
Jonathan Pritchard: No, no. Yes, but Hospital speed of growth -- okay? Can you hear me?
Carl Cowling: Yes, it's echoing around. Yes.
Jonathan Pritchard: Speed of growth of Hospitals, I think 200 more stores but that leads to 10 to 12 a year. Could you go to [indiscernible] emerging business competition out there? Second one is U.S. obviously, [indiscernible] has that win percentage stayed the same? Third, just on [indiscernible].
Carl Cowling: Thank you, Jonathan. Well, on Hospitals, we move as quickly as we can. It's quite a slow BD market. And you know the trials and tribulations of the NHS and restructuring their front of house is not high on many hospitals priorities. So we participate in all of the tenders that come up, but we tend to be very successful. We've got an offer that's WH Smith. We can provide them with Marks & Spencer stores. We can provide with them with Costa Coffee outlets or we combine all 3 together. And increasingly, we're also doing independent coffee propositions for them. So we've got a wide offer. And where opportunities come up, we tend to be quite successful. But in terms of forward forecasting, we've got to be kind of quite cautious really because not many come up. In America, we're really pleased with our win rates. In our first half, we had very few tenders, and we weren't able to talk about a lot of wins. We've got a lot of wins on the table at the moment. And we're still in the midst of quite a few tenders. In answer to your question about win rates, I can only think of 1 big tender that we haven't won something in over the past couple of months. And we're tending to get at least one of the big packages. So I'm really pleased. And the 2 preferred bidder statuses, it would be really nice to announce the airports, but everything is very efficient in the U.S., but both of those are really exciting airports and will really solidify our strength in America when we're able to announce that. And you asked about the Funky Pigeon relaunch, I think. Yes. I mean, the online card market is still a very exciting card market. It's still a huge growth market, and there's a big player there that has a huge disproportionate amount of market share. The Funky Pigeon brand resonates well and it's long overdue for a brand relaunch. So we launched at the beginning of our financial year. Our big peak comes up literally next month. And we're back on TV in December, and we're hopeful that we'll see some really strong momentum from that. And yes, you're a lovely man, Robert.
Robert James Moorhead: You are too, Carl..
Harry Gowers: Is that correct?
Carl Cowling: Yes, go ahead.
Harry Gowers: It's Harry Gowers from JPMorgan. Robert, congratulations on retirement, a bit of pleasure. Good luck going forward. First one, it's obviously very useful to split out the U.S. in terms of essentials, InMotion and Vegas for the year just gone. Maybe flesh out a little bit more color what you expect for this year in terms of the like-for-like progression [ across formats ] in the U.S. And then second one, maybe you could quantify the [ impact of ] budget changes as well?
Carl Cowling: The budget changes here in the U.K., yes.
Harry Gowers: And then last one, just in terms of the number of closures last year [ and this ] year, is there going to be any kind of [ margin income ] last year and this year as well?
Carl Cowling: Robert, I'll let you do the closures one. In terms of like-for-like going forward in America, I mean, our big growth business is the travel essentials business. That's the business that's growing rapidly. It already has strong like-for-like. We're already for our last financial year at plus 7, and there's a lot of opportunities. There's lots of initiatives that we're bringing over from the U.K. in terms of space management. I think we'll further improve that. And travel essentials is rapidly month-by-month becoming a bigger part of the overall pie. InMotion, I think the trends will continue as they are, but that's of our own volition because we are effectively really focusing space and initiatives on our own brand tech accessories, which trade at very high gross margin percentages. And that is at the expense of more branded accessories that are at much lower margins. So we're really driving for profit there on tech accessories and growing our business that way. In terms of Resorts, Harry, it's going to become a much, much smaller part of the business. There's nothing to be worried about Las Vegas. It's still a huge draw for conferences and for entertainment. So I think we'll hold our own on sales, but we're not going to invest lots of money in Resorts, and I don't expect it to grow. All of that growth will come from our travel essentials business. And as we say, by 2028, we expect our Air business to be about 85% of our total U.S. business. So that overall mix of like-for-like will continue to grow. In terms of the budget, for us, national minimum wage announcements have cost us GBP 13 million across 12 months. The national insurance changes have cost us GBP 7 million. Luckily for the finance people in my business, we budgeted for all of the national minimum wage. So that none of those changes were unexpected. So they were all in our plans, and we're able to deal with it. In terms of national insurance, it's not as big an impact for us as it is to many retailers that will be talking over the next couple of weeks and in the past couple of weeks because increasingly, more of our business is international. So whilst the national insurance cost, whilst it's unwelcome, it is dealable with. So in our current financial year, we will be able to absorb the impact of that. So I don't expect our numbers to change. And that gives us enough time to deal with it next financial year and find ways of mitigating it. In terms of closures, Robert?
Robert James Moorhead: The [ 20 ] closures in this year, it's a very tiny proportion of the sales of the business. There are some loss makers that we'll get out of. But quite frankly, you won't see the impact of that and the margin overall. It's a tiny part of the overall business.
Alexander Richard Okines: Warwick Okines from BNP Paribas Exane. I won't say anything nice about you anything nice, Robert, but I hope that WH Smith distribute your memoirs. I just...
Robert James Moorhead: You will be in them, Warwick.
Carl Cowling: It kind of depends on your questions.
Alexander Richard Okines: I just had one question actually about the U.S. margin. In the past, you've talked 50 bps per year. Is that achievable this year? And does the relative pace of growth of the sort of 3 different legs of the U.S. alter that?
Robert James Moorhead: We've improved the margin in FY '24 nicely. We're up to around 13.5% EBIT margins now. So we saw a good growth year-on-year of about 70 bps. So going forward, I still hold that we should be getting towards 15% EBIT margins. It won't be as high as we get in the U.K. just because of the scale of the country and the operating cost as a consequence of that. And we should be seeing a progression to get to that 15% of around 50 bps a year. I mean it might do a little bit more 1 year, a little bit less than next. But over the course of the next few years, in the medium term, we should be getting to 15%. The operational leverage to come through we continue to open lots of stores and as Carl said, the improving the gross margins in InMotion, and that all helps. So yes, I still stand by that.
Kate Calvert: Kate Calvert from Investec. Two questions for me. The first one is, could you give us some more details about the supply chain investment changes that you're making on the East Coast of the U.S.? And my second question is how active is the M&A market in Travel? And which geographies do you think there could be opportunities in?
Carl Cowling: Well, in terms of supply chain on the East Coast, because we've grown say rapidly in America and because it's such a large geography, a lot of our products are delivered direct to store from suppliers. So you can imagine the operational complexity of that. On the East Coast, we had 25 different suppliers delivering into shops at different times, which is it just does not make for a great operating model. So my Chief of Supply Chain is actually sat in the front row, has worked through with [ GXO ] doing effectively a third-party factoring warehousing system on the East Coast. So our suppliers deliver into [ GXO ], they consolidate it and then they send it into stores in 1 parcel. And we think that's a model for us that we're going to roll out across the rest of America. It's such a large geography. I can't foresee us having our own physical warehouses and our own operation on the East Coast. It's just too high cost. We may as well use these third-party providers to kind of leapfrog our expertise. And we've had really no -- we've had no teething issues at all with that -- well done, Sean. And I think we're pretty confident to roll that out quite quickly. And it's quite low cost because it's third party. We're not having to invest in CapEx. We're just having to simply change our processes. In terms of M&A, we're always on the lookout. I mean, in America, we have a huge opportunity in growing our business organically. We're as confident now that we can get to 20% in America in terms of market share as we were 2 years ago. So that will take a lot of CapEx, and we're really focused on that. That said, we're always in the market talking to various people. There is an obvious opportunity that's there for us at the moment.
Timothy Barrett: Tim Barrett from Deutsche. Congratulations, Robert. Two unconnected questions. First one on the budget. There's obviously 5 months of that in the current year. When you say you can deal with it, are you thinking price, headcount, something else? And then second topic, concession rate, concession fees. Obviously, you've been very busy in the market. Can you just talk a bit about the environment for concession fees? What's happening on that?
Carl Cowling: In terms of the budget, in terms of the 5 months, we've effectively got to absorb just under GBP 3 million from national insurance. And we've got a lot of operating model efficiencies that we're putting into the stores. So it's not about putting prices up, but it's just about more efficient ways of doing things, handling stock fewer times, improving the processes. And what this has done for us is it's accelerated our plans to bring forward many, many of those initiatives and then put more into the hopper for the next financial year. So it's more about operating efficiencies that we're going to mitigate against it with. In terms of concession fees, well, it's different in different geographies. We see no change at all, mostly in the Rest of the World. In America, concession fees are actually relatively very low. But the CapEx in America is very high. It costs about 2.5x as much to build a store in America as it does in the U.K., but then the rent can be up to 10% lower. So it's kind of swings and roundabouts. In the U.K., in our home market, concession fees are very competitive. And we are actively saying to landlords, give us more space, give us higher-quality space, we will give you more rent because we are trying to broaden our offering to that one-stop shop for travel essentials and encapsulate all the categories that people want. And so we're, in effect, asking landlords to kind of switch out of other retailers into our proposition. So in so doing, we are peddling that kind of we will give you more rent. So it's in our favor to do that because we're very productive in terms of our pounds per square meter. So I'd categorize it that way. Not really much change in the Rest of the World, low rents in America, property rents going up a bit in the U.K., but probably that's our fault, and we like it. Yes. Yes. But as we think about one-stop shops, our gross margin in one-stop shop goes up because less of our business will be lower-margin categories, and more of our business will be health and beauty, tech accessories and food. So overall, it's a good margin for us. Hope that makes sense.
Fintan Ryan: Fintan Ryan here from Goodbody. Firstly, Robert, best of luck with everything in the future. It's been great to know you over the last few years. Two questions for me, please. Firstly, just in terms of -- you've broken out the food sales within your U.K. Travel business, you said 15% currently. How big do you think that can get to in time? And does that require further investments in terms of are there more coolers, maybe some hot food offerings or even some more stand-alone food or coffee concessions? And then secondly, just to the bridge you provided in terms of the Rest of World store net openings and closures, how should that look into next year? And could you provide more color on where you've been losing stores? Are there any new markets, which you could look to enter in the next 12 to 24 months?
Carl Cowling: Will you take the second one? I'll take the first. So I think we've got an awful lot of opportunity on food. Customers really like our proposition. Our premium range of sandwiches has gone down very well. And I think the exciting thing for us in food is branching into hot food. And so we've got a number of stand-alone cafes now. We've got about 25 stand-alone cafes. Some are own brand, some Costa, some we work with partners with. The one at Princess Anne hospital has got a wider range of food. We think this will continue. And as we start going forward, you can start thinking of WH Smith stores with more hot coffee implants and increasingly more breakfast offers, and we will evolve that over time. But customers want that from us in an Air, Rail and Hospital environment. And we're going as fast as we can to make sure that we do it in the right way.
Robert James Moorhead: In terms of the Rest of the World, the closures, there's less than a handful in the 20 closures for this year and Rest of the World. So there's nothing really, there's no story in there in particular. In terms of where would we like to go? We have small businesses in places like India and Saudi, where there are going to be huge growing markets, and those are definitely opportunities for us. And likewise, in Southeast Asia, and we have a handful of stores in Indonesia, in the Philippines. These are all, again, going to be big, growing markets over the medium term, and those are all big opportunities for us going forward.
Fintan Ryan: Great. And just to confirm, the food within Travel U.K., is that at least with margin -- is not dilutive to margins?
Carl Cowling: Food? Food is good margin. And of course, on the back of food, we sell lots of snacking products, we sell lots of drinks. So food is really an anchor. The better we get food, the more other categories around it will grow because typically, when somebody is buying a food item, they'll buy a drink or a snack as well. And then there's another reason to come into a WH Smith store so it's very additive. I think that's it. Are there any questions? I was going to say online. Are there any questions?
Operator: [Operator Instructions] Speakers, We have no questions on the audio line. So I will hand back to Carl for concluding remarks.
Carl Cowling: Well, thank you very much, everyone. Thank you for coming. We've had a really good start to the financial year, and I look forward to updating you soon. And again, a big thank you to Robert. He's been a huge support to me.